Operator: Good day, and welcome to Globant's Second Quarter 2023 Earnings Conference Call. I am Arturo Langa, Head of Investor Relations at Globant. You've just seen our latest spot, showcasing our experience in artificial intelligence for today's market. In our call today, all participants on this call will be on listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded and streamed live on YouTube. By now, you should have received a copy of the earnings release. If you have not, a copy is available on our website, investors.globant.com. Our speakers today are Martin Migoya, Co-Founder and Chief Executive Officer; Juan Urthiague, Chief Financial Officer; Patricia Pomies, Chief Operating Officer; and Diego Tartara, Chief Technology Officer. Before we begin, I would like to remind you that some of our comments on our call today may be deemed forward-looking statements. This includes our business and financial outlook and the answer to some of your questions. Such statements are subject to the risk and uncertainties as described in the company's earnings release and other filings with the SEC. Please note that we follow IFRS accounting rules in our financial statements. During our call today, we will report non-IFRS or adjusted measures, which is how we track performance internally and the easiest way to compare Globant to our peers in the industry. You will find a reconciliation of IFRS and non-IFRS measures at the end of the press release we published on our Investor Relations website announcing this quarter's results. I'd like now to turn the call over to Martin Migoya, our CEO.
Martin Migoya: Thank you, Arturo. Good afternoon, everyone. I'm Martin Migoya's digital twin. The real Martin, Diego, Pato, and Juan will join you afterwards for the Q&A. We are speaking to you today from Sydney, where we have come to connect with our local team as we continue our expansion in new markets, as well as to meet clients and partners at the FIFA Women's World Cup of which Globant is a proud global sponsor. For transparency, there will be a notice at the bottom of the screen every time we appear or use any AI engine. We are happy to be with you again to discuss another great quarter. With our strong fundamentals, expanding array of solutions and platforms, and greater leverage of our global delivery network, we aim to continue to outpace our industry. In Q2, total revenue was $497.5 million. It is the highest quarterly revenue in our history, representing 15.9% year-over-year growth, and 5.3% quarter-over-quarter growth. This has been made possible by the comprehensive relevance, scope, and depth of our offering, combined with the expertise, creativity, and dedication of our Globers. We are seeing strong sequential growth into the second half of the year, providing us with encouraging signs as we start thinking about 2024. We are also optimistic about the growth of our addressable market, estimated to reach up to $8.9 trillion by 2030 according to the report Digital Transformation Market Forecast 2023-2030 released by Fortune Business Insights this year. At Globant, our vision is to provide the best AI and digital transformations in the world and we want to do it through reinventing our technology professional services industry. We work every day to ensure our clients stay relevant with the latest technologies, constantly innovating the way we provide these solutions, while being kind to our planet, to our peers, to humanity, and to ourselves. Clients that choose Globant are not only picking an AI and digital partner to fulfill their dreams but innovation itself, a new way to create and build technology with transparency and absence of nonsense and at the same time, maintaining a commitment to the environment and society. It's a unique culture. Let me explain to you some of the innovations that separate Globant from our competitors. First, our inverted organizational chart and the autonomy of our Agile Pods, each with its own name, charter, mission, and proud identity as a team. It's the job of our whole management to support them in their success. Second, our Studios. These deep pockets of expertise have been central to our value offering on the latest technologies and their applications to particular industries. Our array of Studios has grown over time as we widen the scope of our services. To improve the synergy, we have now organized them into four Studio Networks. Digital, Reinvention, Enterprise, and Create. Doing so will foster better collaboration among our Studios as we continue to scale. Third, the Company-wide use of AI, both for our internal processes and in the solutions we create. And finally, our platforms, AI-powered software products that solve true challenges of our industry. In the AI space, we continue to leverage our expertise to expand services in order to meet the increasing demand. Late last year, with the widespread interest in generative AI caused by new tools such as Chat GPT, we started to engage with our clients to help them embrace this technology quickly. Our teams worked closely with many of them to create a comprehensive map of initiatives to reinvent their businesses. Then we translated these initiatives into proofs-of-concepts that could be applied to achieve specific KPIs and expand their businesses. Now many of these are becoming real-life solutions that can be scaled globally and implemented Company-wide. In particular, we see two types of solutions. First is what we call Augmented Knowledge, the capability to interact with unstructured data in a conversational way. Skilled professionals such as those in law or in finance will be able to access large amounts of data and quickly interpret it so that they can make better, more informed decisions. And second is a field we call Converse AI, which allows an end user to interact with a transactional system in a conversational way. There are many relevant applications that can speed up the way we connect with our favorite consumer brands. For example, when booking a cruise, you may be able to organize itineraries with the help of an AI that intuitively offers and even schedules services that matter to you, while also handling queries for changes or refunds. I'm happy to see that our expertise in the field is also being recognized worldwide. In early June, IDC named Globant as a leader in AI in the IDC MarketScape for Worldwide Artificial Intelligence Services 2023, affirming our commitment to value-driven services through our comprehensive AI journey. We will continue to expand and share our offering on AI applied to industries and different use cases in our portfolio called mines. I invite all of you to learn more about it by visiting ai.globant.com. Now, some news about our Studios Networks. I'll begin with our Enterprise Studio Network. It has been exciting to see how our digitally native approach makes a difference in how our clients embrace large platform providers like Salesforce, SAP, Oracle, and even the hyperscalers. All of them have been moving at a rapid pace to embrace new technologies. Our combined expertise in these core technologies, with our understanding of emerging ones, has allowed us to be the partner of choice for our clients as they incorporate new multi-technology solutions. Along this line, after announcing Google Cloud Studio on last earnings call, we have just publicly shared the creation of two new Studios, Amazon Web Services, and Microsoft. Industry analysts see a potential growth up to over $1.6 trillion by 2030 in cloud computing. So, with these two new Studios, we will be complementing our offering to better serve organizations worldwide. Diego will expand on this topic later in the call. I am also glad to see how Globant Create consolidates as another of our Studios Networks. In recent months, we brought our capabilities in digital marketing, sales, branding, and performance into this creative powerhouse that leverages AI to improve how organizations can engage with audiences. Growing our offering here has been instrumental in widening our relationships with our clients as we offer them even more services. Globant Create got its first spotlight recently when we presented it at the Cannes Lions International Festival of Creativity. It was a unique opportunity to introduce our new Studio and at the same time celebrate Globant's first Silver Lion won by our commercial 1000 Slides. If you haven't seen it yet, I encourage you to watch it on our YouTube channel. And now to our platforms. I'm enthusiastic to see that the portfolio of Globant X continues to grow. Accelerated by AI and blockchain, we have now evolved each product from a stand-alone specific technology into more integral solutions. Our portfolio includes platforms like, Augoor, StarMeUp, MagnifAI, Sportian, the evolution of LaLiga Tech, and GeneXus. Let me share some exciting updates about this last one. What was once a low-code development platform has now grown into a Suite of AI development tools. GeneXus now applies AI not only to support development, maintenance, and evolution of any given solution, but it also enhances the user experience of the solutions delivered. By incorporating this innovative array of tools, companies can swiftly integrate AI to their systems, operations, processes, and workflows, agnostic to any programing language. GeneXus can now deliver AI assistance that can leverage clients' data set and business processes to craft exceptional customer experiences. Additionally, it enables company leaders to effortlessly sift through intricate data to make faster, more informed decisions. The use cases are endless. The vision of GeneXus is to simplify and future-proof software development. That's why we now ensure that every application delivered by GeneXus can seamlessly integrate with LLMs in a monitored and cost-effective manner. Year after year, we continue to live up to our foundational vision of expanding all over the world. Doing so has been an engine for growth with our clients. As we expand both our delivery and client networks globally, we can draw on these capabilities to give each particular client a customized delivery network that best caters to and surpasses their transformational goals. Globant now has offices in 70 cities in 30 countries, including eight new markets that opened in the past 12 months. Related to this expansion, we have recently announced a significant investment in a five-year strategic growth plan for Latin America, the region where we were born and a main focus of our delivery model. This investment will be dedicated to three main verticals:, AI development, product offering, and the expansion of our local teams. We are opening a new Center of Innovation in Sao Paulo, Brazil. From there, Globant Subject Matter Experts will research AI and other top technologies like quantum computing to create practical applications to support our clients. This center will also be responsible for building new AI applications to improve Salesforce projects, one of our biggest strengths in the Brazilian market. We will continue investing in the development of our own products such as Augoor, MagnifAI, StarMeUp, Sportian, and GeneXus. Our focus is to keep leveraging AI to accelerate software development and improve digital experiences, increasing our go-to-market strategy and providing better outcomes for our clients. Lastly, we will keep expanding our regional teams by adding 20,000 professionals in the region during the next five years. Our strong presence in more than 10 Latin American countries will continue to be a focus of our talent growth. In parallel, we are proud to say we have commenced operations in Portugal. We see great potential in that country to become a new talent hub for Globant to support our European expansion. We also look at Portugal as an interesting geography for business development, with several companies looking to transform their organizations and capitalize the country's solid economic growth during the last years. I'm pleased to announce that on July 20th, we completed the incorporation of Pentalog to the Globant family. With this, we welcome 1,300 new Globers in France, Romania, Moldova, Mexico, Vietnam, and the US. This expansion strengthens our presence in Europe, home to 80% of Pentalog's revenue. Our growing footprint there is of particular interest as many of our global clients have growth projects in these markets. This week, we held our Global Tech Summit here in Sydney. As we are currently sponsoring the FIFA Women's World Cup, this was a great opportunity to meet with partners, future clients, and to showcase the work we are doing in sports. I am very enthusiastic about our future. Currently, Globant has a very healthy pipeline, the largest in our history, and I look forward to sharing with you more stories on our execution. The non-stop innovation of our over 27,000 Globers continues to inspire me. Year over year, we are all able to prove that Globant is on the cutting-edge of global technology and expands its total addressable market with a growing expertise and constant curiosity. I will now turn it over to the digital twin of Diego Tartara, our Global CTO.
Diego Tartara: Thank you, Martin. I'm very excited to be back with you to discuss our growing array of solutions and offerings. As Martin mentioned, AI is transforming the way we do business, provide services, and organize our teams. Many of you remember, years ago, how Globant was very vocal on the coming wave of artificial intelligence, long before the widespread adoption we see today. We are only experiencing the beginning of the full potential that AI will bring into everyday life. We have recently published two new reports on how AI will impact industries and how organizations can harness its power to improve the quality, efficiency, and velocity of their operations. I invite you all to take a look at how AI is changing the narrative on media and entertainment, and game-changers on the future of sports at reports.globant.com. Now as we look out over the next few years, we see how quantum computing has a similar potential to be an exponential accelerator of computer processes, providing meaningful change that will separate the early adopters from their competitors. The shift from traditional computing to quantum can provide advantages in optimization, machine learning, scenario simulation, and cryptography. We can already see possible benefits in manufacturing, the life sciences, AI, finance, energy, and other fields. Quantum's massive computing power, when combined with machine learning and AI, will play a crucial role in accelerating innovation. Although it is still in its early stages, we recognize the need for quantum readiness for organizations so that they can seamlessly integrate this technology. They will need a proficient partner in order to ensure they reap the benefits. Given Globant's signature blend between our rising industry knowledge and our longstanding tech expertise, we believe we can be that proficient partner for current and future clients. Now, some additional color on Enterprise Studio Network. Martin mentioned that we have created the new Studios of Amazon Web Services and Microsoft in order to leverage our decade of expertise and track record in each space. Let me share more context. Globant's expertise covers almost all AWS technologies, from traditional infrastructure-as-a-service to platforms-as-a-service, data, AI, and analytics consulting, Amazon Kinesis Delivery, and DevOps, migration, security, and government migration. Driven by our industry-specific knowledge, this new AWS Studio will help our top stakeholders and our clients to create a comprehensive and scalable cloud platform that can tackle all of the new technology challenges like AI and spatial computing. We combine our global presence, strategic partnership with Amazon Web Services, and deep understanding of cloud technology and business strategy, to deliver innovative solutions that help our clients succeed. Our Microsoft Studio aims to enable organizations to obtain maximum value from their investments within the Microsoft AI, cloud, data, and analytics capabilities. It supports clients' full adoption of a cloud strategy, taking the best out of Azure Data and AI, implementing migration and modernization processes, and leveraging the Suite of Microsoft's Intelligent Business Applications such as Dynamics 365 and Power Platform. This Studio is also a partner for companies that need to take their IT operations and responsibilities to Azure-certified Subject Matter Experts that will monitor, manage, and maintain clients' IT infrastructure and systems. In this space, we are proud to say that together with Sportian, the evolution of LaLiga Tech, and Microsoft, we have launched a pilot of generative AI applications to reinvent sports tactics and broadcasting. Using Microsoft Azure Open AI service, this joint effort will improve available sports data and enhance the experience for millions of fans all over the world. Among other features, this collaboration facilitates the creation of multi-lingual subtitles adapted in near real-time for all live sports matches and improves metrics availability and data visualization for each team's Head Coach and their assistance. This offering started for football but will expand to other sports including basketball, rugby, and tennis. Now let me talk about how we are enhancing our clients' operations by improving our product offering. Martin shared news about GeneXus. I will dive deeper into other products. First, Waasabi. This wallet-as-a-service has evolved and is now capable of offering organizations a fast track into the digital payments space. The platform's architecture based on APIs sets up a payment aggregation and a digital wallet business in the white label format. It enables organizations to quickly enter the FinTech space without having to develop their own back-end from scratch. Waasabi is currently undergoing its first major launch with the Ecuadorian bank, Produbanco. Our solution is the first embedded finance platform in Ecuador and Produbanco has become the depositary bank, and a reseller of Waasabi, offering it to its corporate clients who want their own solution for digital payments and collections. This project is particularly special to Globant, because through it, together with Produbanco, we demonstrated the power of FinTech in Ecuador and its potential to advance financial inclusion for the whole country. Next, I'd like to announce the relaunch of our platform, MAIDA, an AI assistant for IT service management. As we listen to the challenges of our clients, we find that many of them, particularly larger organizations, struggle with overwhelming and cumbersome IT ticketing systems. As an AI assistant, MAIDA optimizes and accelerates IT services by applying AI to streamline ticket management and simultaneously conduct process mining to find bottlenecks. This platform was born out of our work with one of the largest companies in the life sciences sector. This organization was experiencing a major challenge to map their priorities and procedures through their internal ticketing tool, receiving over 100,000 priority tickets per month. Our AI assistant anticipates ticket variations and connects them to the appropriate service management team. This resulted in 25% more efficiency in problem-solving, three times faster ticket resolution, and a two-day reduction in ticket management. Now, some more news on our continuing work with our clients. Over the past year, we began working as the technology partner for Iberia, Spain's biggest airline, as they undergo their own digital transformation strategy. The goal is to reinvent the technology area with a three-year project, which aims to ensure the future value of the engineering functions, enabling business resilience and rapid transformations. In addition to providing technology services, we have partnered to create a future talent program centered around developing the young talent in the region. Through this project, we are sharing with Iberia the Globant way of doing things, including our agile culture, our growth strategy, our industry-specialized capabilities to improve product performance, and our delivery models. The pharmaceutical industry has been steadily moving towards transforming traditional face-to-face interactions into digital experiences as new products are launched into the market. We are working with one of the largest players in the sector on an approach to fully transform their go-to-market strategy. Following proven data-driven strategies, the new model relies on innovative digital experiences for healthcare professionals to boost their engagement with the Company. These new touch points will enable capturing data that will result in simpler, more intuitive, and personalized experiences, fostering stronger connections with this specific community while driving the success of their products. You may remember that last quarter we consolidated our Google Cloud expertise into its own Studio, part of the Enterprise Network. This quarter, we have major developments from the Studio with a leading toy company. After building a track record with them for quality of delivery through our work over the past two years, they approached us with a more urgent need to reconcile marketing and commerce analytics data for three product brands. Their own ecosystem was fragmented and not helping the organization achieve their KPIs. Thanks to our partnership with Google and our expertise on the Google platform and Data and AI Studio, we reconciled the data on each analytics platform, enabling the company to calculate business KPIs from a single source. In Latin America, we are working with the region's largest bank, Itau Unibanco. Through GeneXus, we're helping them release the first banking super app in the region. Our Globant team provided the platform, technology, and services to convert their current mobile application into a super app, integrating several partner services into the solution, boosting user engagement, and facilitating customer access to services and product payments without leaving the application. Thank you, everyone, for your time and attention. I'll now hand it over to Pato.
Patricia Pomies: Thank you, Diego, and good afternoon, everyone. It's great to be back. Let's kick-off with our clients. As you know, a major growth objective for Globant has been our 100 squared strategy aimed at generating new clients and also expanding the array of our relationships with our current ones to serve new geographies and even more services as we grow our collaboration over time. It continues to advance and show results, as this quarter, we were able to deliver our highest quarterly revenue ever, but with greater diversity in our top revenue sources. We now have 16 clients bringing in more than $20 million in annual revenue. We have 283 clients that provide more than $1 million of annual revenue, 21.5% more than one year ago. Our largest account, The Walt Disney Company, declined by 2.4% year-over-year and 1.1% quarter-over-quarter, showing signs of stabilization. The rest of our accounts collectively grew by 18.1% year-over-year and 6% quarter-over-quarter. Globant is also widening its revenue sources geographically as well. In Q2, 60.6% of our revenue came from North America, 22% from Latin America, 14.1% from EMEA, and 3.3% from Asia and Oceania. As our 100 squared strategy is based on widening our services to our current clients, we remain laser-focused on our Net Promoter Score as a quantifiable assessment of our client satisfaction with Globant and their likelihood of referring us within their organization and their networks. In Q2, we achieved an NPS of 83 our best ever. Our average NPS for the trailing 12 months has now increased from 79 to 81. As of June 30th, we were 25,947 Globers, of which 93.1% were IT professionals. With the full incorporation of Pentalog in July, Globant is now a team of more than 27,000 creative minds. Our annual attrition rate is currently 11.6%, the lowest in our history and the attrition over Q2 was 2.5%. We are committed to keep delivering the best experience to Globers and to enhance Globant's identity as an accelerator with exposure to projects with beloved global brands in multiple geographies, regions, and industries, combined with a culture of diversity and innovation. We also aim to drive efficient utilization to manage proper head count, hiring, and attrition effectively. As of 2Q ‘23, our utilization rate stood at 80.1%. At current levels, and with the labor market stabilizing, we are confident in our ability to have a healthy flow of talent moving forward. We are already starting to see positive indications of better hiring trends on an organic basis, and we anticipate these trends to continue into H2. Under the same objective and to strengthen our agility, we launched a new AI-based staffing assistant that runs on Slack, Globant's preferred internal communication channel, and helps project leaders to build the best teams in seconds. This new assistant seamlessly works with Globant's performance and career systems and proposes to each leader suitable candidates within the talent pool that best match each job request with all pertinent information. In a fully conversational mode, Globant leaders can now use this assistant to create high-performance teams with specific skills and even set-up the interviews. This will speed up even more our readiness, maximizing the value of our talent pool, and ensuring quality of the delivery. To keep ensuring a vibrant career path at Globant and accelerate Globers' exposure to new challenges, we developed a data-driven tool concept known as Readiness Model. It provides a holistic view to assess the readiness level of Globers for growth and promotion by encompassing and interconnecting all the core aspects of talent development, performance assessments, leader's feedback, and technical skills among others. We are using this tool so that we can reward Globers who have gone the extra mile to upskill or re-skill themselves and have taken the driver's seat of their own career by offering them new challenges with more agility. It also fosters transparency and helps mitigate bias by clearly outlining the criteria utilized to assess and comprehend the readiness level of Globers as a guide for leaders. In doing so, we are being true to Globant's entrepreneurial culture at all levels and areas of the organization. We launched this tool via our proprietary platform of StarMeUp this quarter. For Globers that want to take their career development even further into their own hands, our open career platform continues to provide Globers with the promotional opportunity right here at Globant and serves as our in-house tool to offer a new career path, team, and perspective. More than 500 Globers entered new fields within Globant in Q2 alone. In the past year, more than 2000 Globers have been able to find new challenges this way. We are also enthusiastic about the increase in the utilization of our own learning and development hub, MyGrowth. There, Globers and their career mentors can track progress in specific skills relative to the expected proficiency at each seniority level. Powered with artificial intelligence, the tool provides a range of learning missions that enable Globers to expand their skills and reach new levels of knowledge in each working ecosystem. More than 15,000 Globers are regularly active on this platform and nearly 4,000 have increased their standing. Combing the use of MyGrowth with the continuous evolution and expansion of Globant University, the total Globant learning hours increased more than 30% year-over-year. Last but not least, our Be Kind initiative keeps driving impact on our greater community and broader Company stakeholders. In 2020, we committed to offer 15,000 scholarships globally to people from different backgrounds to study technology by 2025. We have had particular focus on underrepresented profiles, including women and socioeconomic minorities in developing countries. Through our Code Your Future initiative, we have already offered a series of training opportunities to more than 10,000 people. And this last quarter, we announced 500 new scholarships in Malaga, Spain. Within this program, the Construye Paz initiative in Colombia makes me especially proud. Last year, I shared with you all that Globant launched a special scholarship program for individuals affected by the internal conflict in Colombia, who are transitioning towards peace. The program provides access to alternative forms of education, including boot camps, technical workshops, and soft skill lessons to improve their employability in the technology industry. We have expanded this program to four cities and are currently training more than 120 new individuals. And finally, I'm happy to announce updates on the fourth edition of the Women that Build Awards. With the support of global partners like the NYSE, Salesforce, Women Corporate Directors, Udemy, and Coach Hub, this year's nomination stage concluded with our largest response ever for the awards, receiving over 3,100 nominees and 123,000 votes. We look forward to sharing the stories of the winners so that we can promote more diversity and inclusion in our industry through their inspiring stories. With that, I'll hand it over to Juan, to discuss our financials.
Juan Urthiague: Greetings, everyone. It's good to be back here with you this afternoon. We are excited about the outcomes we achieved today, and we extend our gratitude to all our Globers and clients for their support and dedication in making it happen. We are pleased to report that in Q2 of 2023, we achieved our highest quarterly revenue figure, representing a solid year-over-year revenue increase of 15.9%, totaling $497.5 million. Our performance in the current environment is a testament to our commitment to delivering excellent results. Our adjusted operating profit margin met guidance expectations and we skillfully executed M&A initiatives to broaden our presence in Europe. As we previously indicated in our last earnings call, we are confident in achieving sequential strong revenue growth in 2H 2023. Our Company continues to expand while client discussions about long-term strategies remain consistent. In the second quarter, our pipeline increased again and conversations with customers remained strong. Additionally, we continue to see some improvement in the closing of new bookings and the creation of new backlogs to fulfill short-term revenues. Our bookings in the first half 2023 are over 40% larger than those in the second half of 2022. Our revenues of $497.5 million represented a solid 5.3% sequential growth, with North America growing 3.9% quarter-on-quarter, EMEA at 10.2%, LatAm 6.7%, and new markets at 1.8%, bringing us to $970 million of revenue year-to-date at 16.8% year-on-year growth. Also, our Q2 2023 revenues are already above the Q4 2022 level, as previously forecasted in our last two earnings calls. We witnessed improving spending patterns across our top 20 accounts. Regarding our top account, Disney's second quarter performance showed signs of stabilization with revenues flat sequentially. For Q3, we now expect sequential growth similar to the Company average in light of improving demand trends. We experienced sequential growth in our two to 10 and 11 to 20 client buckets of 1.5% and 6.8% quarter-over-quarter respectively. Additionally, inorganic contributions accounted for approximately six percentage points year-over-year growth in Q2, further improving our overall performance. From a vertical standpoint, we posted notable sequential growth in most industries. Our Media and Entertainment division experienced a 5.5% growth rate, driven by a positive performance not only in our Sports and Entertainment segment but also in a handful of large media companies. As expected, Technology and Telecommunications saw a slight decrease of minus 5.0%, indicating a more moderated spending pattern still present across many of our high-tech clients. However, we are seeing signs of stabilization across this vertical looking into the second half of the year. Positive growth was seen in Travel and Hospitality at 7.1%, and Consumer, Retail, and Manufacturing at 7.8%, with a flattish performance in Professional Services at minus 0.2%. Our Banks, Financial Services, and Insurance vertical outperformed with an 8.4% quarter-on-quarter growth. We note our exposure to large global financial institutions across many business units and geographies. Healthcare demonstrated an exceptional growth rate of 18.8%, helped by our recent acquisition of ExperienceIT. Our other verticals category grew by 2.3%. All in, this drove a solid company-wide quarter-over-quarter growth rate of 5.3%. We delivered another strong quarter of profitability and net income generation. In Q2 2023, our adjusted gross profit margin reached 38.3%, up 10 basis points quarter-on-quarter, with adjusted gross profit increasing to $190.6 million, a 13.5% year-on-year growth. We are experiencing some marginal cost headwinds driven by FX appreciation in most LatAm countries. Our adjusted operating margin for the quarter was 15%, within the guidance range we provided in May. Regarding adjusted SG&A, this stood at 17.9% of sales, down 90 basis points compared to last year's quarter. As for below-the-line items, our IFRS effective tax rate for the quarter was 21.1%, slightly below our guidance as taxes came in lower than our initial expectation in specific geographies. Our adjusted net income in Q2 reached $58.9 million with an 11.8% adjusted net income margin, up 10 basis points quarter-over-quarter. Adjusted diluted EPS for the quarter was $1.36, $0.03 above our guidance, representing an 11.5% year-over-year increase based on 43.4 million average diluted shares. Regarding balance sheet management, as of Q2 2023, our cash and cash equivalents and short-term investments amounted to $270.8 million. During the quarter, we expanded our revolving credit facility to $725 million from $350 million, and it remains fully undrawn by the end-of-the quarter, providing us ample liquidity and resources to continue to execute our capital allocation and M&A strategy. Year-to-date in 2023, we have produced approximately $7.1 million of free cash flow, a significant improvement from the $28.1 million used in the same period last year, owing to improvements in our working capital and tax management. Moving forward, let's discuss our outlook for the third quarter and the full year 2023. Our third quarter and full year outlook in incorporate the most recent trends in the business and the contribution from Pentalog's acquisition, which finally closed by the end of July. I would first of all like to provide you with positive news. Our increased guidance for the year implies strong sequential growth in Q3 and in Q4, both in terms of total growth and on a like-for-like basis, markedly higher than the rest of the industry. This positive trend in our revenues, coupled with a more constructive market, gives us confidence to start thinking about 2024. We anticipate Q3 revenues of at least $545 million, reflecting approximately 18.8% year-over-year growth and a 9.5% sequential increase. As we called out during the last quarter, we continue to perceive a positive evolution of our underlying revenue indicators and an encouraging pace of bookings and backlog formation throughout the first half of 2023 compared to the final months of 2022. Excluding the inorganic contribution from Pentalog, we expect over 6% quarter-on-quarter revenue growth in the third quarter. The implied sequential growth we expect for the fourth quarter is projected at approximately similar levels. The Company's second half run rate projections are aligned with our long-term goals. In terms of the full year guidance, we now expect our full year 2023 revenue to be at least $2.094 billion, a solid 17.6% year-over-year growth and above our previous guidance figure. This guidance figure considers about 180 basis points, 200 basis points of top-line growth from Pentalog. From a profitability perspective, we now expect our adjusted operating income margin in the 15% to 16.5% range for the third quarter of 2023. For the full year, we now expect our adjusted operating margin in the 15% to 16.5% range. IFRS effective income tax rate is expected to be in the 21.5% to 23.5% range for both Q3 2023 and the full year 2023. Our adjusted EPS for Q3 is expected to be at least $1.46, assuming 43.5 million average diluted shares outstanding for the quarter. Finally, our adjusted diluted EPS for 2023 is expected to be $5.72, assuming 43.4 million average diluted shares for the year. Thanks, everyone, for participating in the call and for your coverage and support.
A - Arturo Langa: Thank you, Juan, and hi, everyone. [Operator Instructions] So, thank you very much, and with this in mind, we will take the first question from Tien-Tsin Huang from JPMorgan. Tien-Tsin, please go ahead. Your line is open.
Tien-Tsin Huang: Hi. Thank you, Arturo. Yeah, good results, and the sequential growth outlook is encouraging. So, I'll ask on that. It sounds like organic sequential, you're expecting a similar outcome as we saw here in the second quarter, Juan, so I just want to make sure we caught that correctly. And I'm curious with this theme of short cycle projects or discretionary work being under pressure, but large deals coming through, what are you seeing maybe that's different than the rest of the group? Love to hear your thoughts on that Martin.
Juan Urthiague: I'll take the first part.
Martin Migoya: You take the first part.
Juan Urthiague: Yeah, thank you, Tien-Tsin for the question. So, yeah, I think that the numbers are showing like very good growth, especially compared to the rest of the industry. The number for Q2 in terms of sequential growth organic was about 4.3%. That is increasing actually a little bit into Q3, which is going to be around 6% organic sequential growth. And then when we look at the implied numbers for the fourth quarter, it's about 5.5%, almost there as well. So, the sequential growth is clearly improving. I think it's a consequence of the level of bookings and the level of deals that we have been signing since the beginning of the year and that trend that we started to talk about back in February stays the same and it's actually getting slightly better. We started to see again some deals getting closed. We started to see Disney -- our largest customer Disney now getting better as well. So, all in all, as you pointed out, we are once again in the 4% to 6% sequential organic growth quarter-over-quarter, which is a positive indicator getting into next year.
Martin Migoya: Yeah, and on the second part of the question, Tien-Tsin, thank you very much for joining today. We are seeing a pipeline which is historically the highest and the pipeline is not composed by small projects but composed by pretty much larger deals done before, longer-term deals. So, we're extremely happy to see that. In a wide range of customers from the top five to the 11 to 20 -- sorry, top five -- or sorry, top 10 and 11 to 20, In both segments, we are seeing very positive pipeline. And the change on the trend is pretty -- is pretty good right now. I mean, it's much better than on the first quarter, than when we announced our first quarter results. So, I'm positive for the rest of the year and it looks like the sun is rising a little bit. I mean, it's not [Technical Difficulty] rising a little bit.
Tien-Tsin Huang: Got it. Yeah, well, it's also early here in Australia. So, it's probably the case. Real quick on headcount and I'll cede the floor.
Martin Migoya: Exactly right.
Patricia Pomies: It's really early here, but we are keeping here.
Tien-Tsin Huang: You guys are always working hard. That kind of actually segues well with my question. I guess maybe on utilization and headcount, can we expect headcount to grow here as we look to the balance of the year or is there room on the utilization side, maybe to balance demand that you're seeing? I'm just curious what the plans are between headcount growth and utilization. That's all I had. Thanks.
Patricia Pomies: Okay. Thank you for your question. Well, headcount in the first half of the year has been a little down, but now the second half has appeared like we are going to keep growing. Utilization has been -- we have been working a lot on that in terms of keeping it up in the last in the last couple of months. So, I think that what we are going to expect for the next half of the year is that we are going to rise the headcount. We have very strong pipeline -- pipeline as Martin was mentioning. The partnership that we are achieving with our main customers are longer, so I think that we can be confident that we are going to keep the -- the attrition is the lowest in the history in Globant, so I think that, that is also another very good indicator that we are going to the correct path for the second half. Thank you.
Martin Migoya: Thank you, Tien-Tsin.
Juan Urthiague: Thank you.
Arturo Langa: Thank you, Tien-Tsin. The next question comes from Ashwin Shirvaikar from Citi. Ashwin, please go ahead. Your line is open.
Ashwin Shirvaikar: Thank you, and yeah, good morning.
Martin Migoya: Good morning.
Ashwin Shirvaikar: Yeah, yeah. I wanted to ask about -- I mean, obviously, good results and good use of balance sheet as well. Could you help separate out organic versus inorganic sort of the contribution that you expect from Pentalog? And just beyond also the numerical contribution, if you could talk a little bit about the specific capabilities that you can layer on because of Pentalog? Maybe just get a little bit deeper into that as well, remind us.
Juan Urthiague: So, thank you, Ashwin. Yes, look for the year, the new guidance is 17.6% year-over-year growth, which is again extremely strong when you look into our peers, most of our peers were from minus 12% to about 4% positive. So we are talking a significant higher-growth for Globant. If we want to decompose that, we estimated that organic growth is about 11.3%, 11.4% for the year, and the rest comes from the acquisitions that we did early this year and late last year. And then specifically talking about Pentalog, we are estimating the full year impact of Pentalog at about 180 basis points of growth year-over-year. which is about $33 million, $34 million, $35 million of revenues at this point in time. So that's what we are including for the rest of the year.
Martin Migoya: Yeah. And regarding the second part of the question, we're seeing Pentalog in two different dimensions. The first one is geography, and we're expanding into -- with much bigger operations now in France, in Germany and also expanding into other delivery locations like we didn't have before or we have it smaller, like Poland, and now we have about -- sorry, Romania, like we have now more than 1,000 people in Romania. We are expanded now into Vietnam, into Morocco into other destinations we were not there. And I will let Diego to explain the technological things that Pentalog are bringing to the table.
Diego Tartara: So Pentalog, actually, in terms of their delivery, I think the key aspect they have and they bring to the table for Globant, it has to do with the use of their talent. They have tooling in an approach to the delivery model that is super interesting and very innovative that we are working together now to incorporate at a full scale in Globant. In terms of capabilities, I think the most important aspect, like Martin said, is reaching out to their client base and opening up new regions, not only in terms of delivery, but in terms of clients to bring our expertise, and that's already happening.
Ashwin Shirvaikar: Got it. Sorry, go ahead.
Patricia Pomies: No, that's okay. The integration has been really great with Pentalog and was really smooth. So we have been able to start working with their clients and cross-selling their -- all the capabilities that Globant has. So I think that is a really important thing that about this acquisition, this was really smooth and was past. So we can see the results very, very shortly.
Ashwin Shirvaikar: Understood. Understood. And the second question is on margins. And I think through the first half one, you had mentioned that margins should improve through the course of the year. The margin range is still sort of the kind of -- I think at the top end is a little bit lower than before. Could you talk a little bit about the specific investments that you're having to make in the current environment? And is this for the purpose of supporting the significantly higher growth rate? Or is there a pricing component? What's exactly going on?
Juan Urthiague: Look, if it hasn't been for the recent changes in the FX market, we would have seen a nice improved, I would say, 1.5% to -- probably around 1.5 percentage points of improvement. But if you look at what is happening in Latin America, especially Colombia, Brazil, Chile, Peru, the appreciation of the US dollar has gone anywhere between 5% to 15% in just two months. And that has a direct impact on our cost base in US dollars, and therefore, it has an implication on the margins. So yes, as you said, the first half of the year, we were expecting actually -- we were doing a lot of things, but -- and we were expecting a meaningful improvement for the second half of the year. That now has come down a little bit, that expectation because of the very recent appreciation of the US dollar. Yes, we are -- as always, we keep on investing on growth -- we keep on investing in expansion. And actually, the growth levels that we are putting out are a very good indication of that strategy, well above the rest of the industry. But as you pointed out, on the margin front, we are seeing some headwind coming from some FX in Latin America.
Ashwin Shirvaikar: Understood. Thank you.
Patricia Pomies: Thank you.
Martin Migoya: Thank you, Ashwin.
Juan Urthiague: Thank you, Ashwin.
Arturo Langa: Thank you, Ashwin. Our next question comes from Mayank Tandon from Needam. Mayank, your line is open.
Mayank Tandon: Oh, great. Thank you so much, Arturo. Well, first congrats on the quarter and very impressive relative to your peers, so I wanted to ask you in terms of 2024, I think Juan you said, you already are thinking about '24, so given the exit rate of the fourth quarter, when we do the math on the easy comps, is it reasonable to expect maybe a return to 20% growth by 2024?
Juan Urthiague: Yeah. Look, that's what the math -- the math is saying. Of course, it's still early, and we will provide -- we will be providing formal guidance at the beginning of 2024 in February. But you know, clearly, one thing is to get into next year, we are seeing sequential growth and a very different thing is when you are seeing decreases, right? So, we are optimistic about next year. We are optimistic about how deals are shaping up, are getting closed, but, it's I think still early to say, okay, it's going to be [indiscernible] it's going to be 15%, it's going to be 22%, right? When you look at the market and our peers, they seem to be all in the single-digit numbers. I do believe that double-digit is okay, maybe you know, we need to get closer into the end of the year to see if what we are seeing right now is validated in the second half or if there is any change. But you know, so far, it's looking good.
Mayank Tandon: Got it. And then just as a quick follow-up, in terms of Disney, what's changing? Every item we look at news wise, it's bad. So, could you just give us some color in terms of what's changing at Disney for you? And should we expect flat trends from here or do you expect actual improvement in terms of sequential growth as we move through the second half of 2024? Thank you.
Martin Migoya: Well, I will take that one. Thank you for the question. Disney has gone through really the process of optimization of their operations, and it is interesting to see how that evolve and during the first quarter this year and a large portion of the second quarter of this year, they have been moving things around going up and down, and it was public announcements about many people that they let go, but the scope of what they needed to do, didn't change. And that still get everyday more and more challenged, they are everyday in a bigger need of changing and evolving their technological solutions. So, Disney historically has invested a lot on technology, and we are very good partners to them, and we have been in the last few months seeing like some traction again on our services on what we do for them. On the parks side also on the direct-to-consumer side on the Disney plus, so and so forth side. So in both places demand is back. So we are very happy for that, and I think the trend will continue going that way, hopefully, let's see, we never know.
Mayank Tandon: Thank you.
Martin Migoya: You are very welcome.
Patricia Pomies: Thank you. See you.
Arturo Langa: Thank you, Mayank. Our next question comes from Maggie Nolan from William Blair. Maggie, your line is open. Please go ahead.
Maggie Nolan: Hi. Thank you.
Martin Migoya: Hey, Maggie.
Patricia Pomies: Hi, Maggie.
Maggie Nolan: I wanted to follow-up on that question, but ask about clients two through ten, and kind of what are the puts and takes there within that cohort. What do you think it takes to bring that group back up to the company average growth?
Juan Urthiague: Yeah. There is a combination always of customers right, and specifically in the two to ten there is just one customer that did not perform in-line with the company growth and kind of took a little bit the numbers down on average. But you know, again, Globant has a very strong portfolio of what we call 100 squared accounts, you know, accounts that have the potential to do $100 million overtime. Sometimes like in this quarter, Disney was flat sequentially, and we still were able to do 4.3% sequential organic growth, 5.3% total growth sequential, right? So sometimes you know, it's one customers, sometimes it is a group of customers, sometimes it's only a company, but I think that the interesting part here is that we have an amazing portfolio of high potential accounts in every single industry. So, that's another positive, right? I mean, we don't have specific concentration in one single industry. Hence, we tend to be quite diversified and sometimes the revenue might come from travel, sometimes it might come from media, like this quarter it was good, sometimes it maybe from financials, which this quarter was flattish. So, all in all, we have a very diversified portfolio of the most successful companies in each industry, and that is what drives the growth in the mid and long term. Short-term, you may have one customer, up or down, but I think that…
Martin Migoya: Yeah. And regarding the pipeline, Maggie, we see the pipeline growing pretty much across the board. But it has a very clear action on the top clients, on those clients that you mentioned, so yeah.
Patricia Pomies: I think that one of the other thing that is important that we have been working a lot this last year is in the global accounts, we have put in a strategy in order to cover global accounts, I mean, you know that we have this regional approach in terms that we have LatAm, we have Europe, new markets and we have US. But then, now we have another strategy that is the 100 squared strategy that goes around all those regions. And then we have the other one that is Global Accounts. And those are a specific team that are covering accounts all-around the world. Like for example, I don't know, Santander is one of the global account that is in Europe, in LatAm, in Mexico, I mean, we have it in different kind of bases, and we have a specific team go in and keeping that accounts growth. Right now we have named ten global accounts, probably we're going to have 15 or 20 by the end of the year, we expect that. So, I think that is another way of approaching, how we are growing the account in Globant.
Maggie Nolan: Helpful. Thank you. And then when you think about the announcement that you put out there about the large investment in Latin America, including the hiring efforts, can you help me understand what strategically is different for you going forward, what you're most excited about, how you're going to approach this maybe differently than what you've been doing to expand in the region in the last several years?
Martin Migoya: Yeah, sure. We have been expanding, as you have seen operations all around the world, in Europe, in APAC, with a heavy presence now in Middle East. And we think it's time to go back given the strategic importance and relevance that Latin America gain after certain events, international events, we believe it's time to double down on Latin America. And that's the simplest way of explaining that. Now the specifics of that is growing our Brazil operation, growing our delivery centers in many different countries in which we operate. We operate pretty much in all of them. So that, Maggie, is how you need to think about this. It's a long-term investment, probably five, six, seven years in terms of developing talent, developing AI and expanding into the Latin American market.
Maggie Nolan: Thank you all. Nicely done.
Martin Migoya: Thank you very much, Maggie.
Patricia Pomies: Thank you, Maggie.
Arturo Langa: Thank you, Maggie. Our next question comes from Bryan Bergin from TD Cowen. Bryan, your line is open. Please go ahead.
Bryan Bergin: Hi all. It's good to see you. I want to start on program types. So, if you can talk about the nature of client conversations now related to the theme of cost efficiency programs versus more of a growth-focused, certainly I hear a more constructive tone from you here. I'm curious, have you seen a notable pickup as it relates to inquiries around growth-oriented projects or if it's still a little early for that?
Martin Migoya: Yeah. Sure, Bryan. Thank you so much for the question. We are seeing an evolution that is happening in terms of the quality of the projects. Before they were more oriented, they still are, but more oriented on the cost savings side. And now we're seeing that picking up a lot on the digital space, on the Globant Create space in which we are providing AI projects connected to everything that you know is happening in the market. We are seeing evolution a lot in terms of how to integrate the offering of create with digital marketing, digital sales, digital branding performance into our main practices. So, we are happy to see that evolution, because for a long time, I would say, during the last five, six quarters, the predominant kind of projects were projects based on trying to become more efficient. And now the focus still is that, but the addition of AI and everything that is happening of AI -- with AI, and as we said in past quarters, this AI demand will still be picking up slowly. Corporations are slower than individuals to adopt technology given the whole restraints and much larger systems that they have. So, this thing will pick up, and we will see more of those interesting digital projects moving forward. But still, the cost saving kind of projects are there, and I think they will be there for some time.
Bryan Bergin: Okay, understood. And then --
Diego Tartara: I think just to add a little bit of color on that, I think we're kind of in an intersection. The cost saving and operational efficiency, it is still in the conversation, but the approach to it has changed dramatically. Like, just as an example, within healthcare, we're talking about telemedicine, which reduces the cost and brings better experience. But from a different perspective, it's adding new technologies, it’s doing the long-term development. So, that is slowly starting to happen. And I think that's the change we've been seeing during Q2.
Bryan Bergin: Okay, that's helpful. Thanks, Diego. My follow-up is on the Enterprise Platform Studio. So, can you give us a sense of how big this studio has gotten for you? It seems to be quite successful. And just separately, as you lean into this area further, does it change anything around how you're sourcing talent versus your heritage skill base in custom software development? Is there a different way of acquiring talent for this particular studio area?
Martin Migoya: Yeah. Will let the second part of the question to be answered by Pato. I will answer the first one. There's a specific need on the enterprise side, and we're talking about the enterprises at the back end of the companies going from SAP to cloud migration to a Salesforce to, backing in terms of how they take care of their own customers or their own processes, so on and so forth. There's a pretty clear need to do things in a different way in that space, and bring the way of working from the digital space into this area. And people kind of -- they are tired about the old practices and the old way of doing things in that specific space. So, now they are betting for players like Globant -- for Globant, because we're bringing that fresh approach to that -- to those same problems. Something remarkable is how we are seeing the demand of the migration from R/3 to S/4 -- S/4 HANA in SAP, for example. But cloud migration is also, in general, very accentuated. Salesforce is picking up very good, and we are seeing a strong demand there. But in essence, what our customers are buying from us, which cannot get from others is this way of understanding how to create technology, how to implement technology in a totally different manner, reinventing that space, too. And that's one of our largest competitive advantages, how we do things. And that's why that enterprise network of studios that I would like to call it, is growing very fast. In terms of talent, I will let Pato to complement.
Patricia Pomies: Of course, thank you. I mean what we are doing is kind of mostly the same as we have been doing. The only thing that is probably what we are doing more specific things in terms of this specific skills and the partnership that we have with Salesforce and [go on all the interpreting] (ph) help us in order to achieve those talent and prepare that talent when the client ask us. But as Martin was mentioning, the way we are hiring, I mean, it's not changing because of that. We always hire at the same pace. We are -- we keep expanding our operation in terms of looking for the best talent in the world. All around the world, we are opening offices. But some of them are specific going into this specific technology and this specific studio. That is the difference. But it's not different as when we launched the gaming studio or it's not different as we launched other studios. I mean, we treat this as part of the 360 offer that we have at Globant. When we approach a client that wants this kind of technology and this kind of partnership, it's not because they want just the talent, it's because they want the talent and all that comes with that. The experience of Globant, the culture of Globant, the approach that we have in terms of solution in not only that specific topic, also the consultancy, the marketing, and all the studios that Diego was mentioning that we create in this last couple of months. So, I think that going to your question about the talent, we keep growing the talent. We keep helping the talent grow inside the company. We have been putting in place many initiatives that has to do with -- we keep training, upskilling, reskilling. We have the apply artificial intelligence in our Globant University in terms of doing the talent match. So we keep doing what we most love to do is taking care of our Globers and have the best version of themselves, right?
Diego Tartara: If I may chime in with a small comment. I think you're spot on with regards to there's definitely a difference. In fact, within the enterprise studio, most of the career path and the talent is heavily based on certification. And this is required by the partnerships, and this is a big change. But the good thing about that, about the differences is that we -- remember that at the core, we are organizing studios, and they are actually taking care of that, the full pipeline from attracting the talent to delivery. So this actually, for Globant, is our bread and butter. It's how we do things.
Bryan Bergin: Okay. That’s very clear. Thank you guys.
Martin Migoya: And, one last comment on that. Sorry, you hit a very specific point. And one more comment on that is that people that joins Globant, they're not joining an enterprise studio. They are joining to be part of a story of reinvention of the industry. And this is what people like to do. People like to do and to belong to teams that are thinking very big, that are trying to do something really different for the whole market. And this is the case of Globant, and this is why many of the people are joining us. Sorry, go ahead with your question.
Bryan Bergin: No, no, no. I was thanking you for all the details. So thank you all.
Patricia Pomies: Thank you. See you. Bye-bye.
Martin Migoya: Thank you.
Arturo Langa: Thank you, Bryan. Our next question comes from Surinder Thind from Jefferies. Surinder. Please go ahead.
Surinder Thind: Thank you. So, for my first question, just going back to the question about the Studios here, it seems like every quarter you've got a new Studio or two that you launch. At what point does that structure potentially become a bit unwieldy, and then what happens to Studios maybe you launched two years ago, something like the Meta Studio where I assume uptake probably isn't that strong?
Diego Tartara: So, I'll take it. So, actually one of the things -- we are launching Studios -- there is a process of maturity and evolution that makes us launch Studios. And -- but we are also combining Studios whenever it makes sense. Just as an example, what we now call digital experiences encompasses lots of Studios that were there before, like UI Development, Mobile, et cetera, that now can be handled within one portion of the ecosystem. The second one is, we're constantly challenging the structure in how that structure is maintained. In fact, we are actually doing changes as we speak that we'll announce shortly. They have to do on how we manage them, the ecosystems. So, one of the things is that, we created -- we reorganized the Studios in four networks. And they will be managed and in a way that they will become much closer to the business, not only to the talent. So I think -- I think the number of Studios that we have and how we manage them is always, we never chew more than -- or bite more than what we can chew. We know what we're doing, what we are developing, what the market is requiring and what the talent is requiring as well. So, with all of that combined is that we are making the announcements and launching the new Studios.
Martin Migoya: Yeah. The new Studios will be packed into four different groups as Diego mentioned, do you want to go through the different four packs?
Diego Tartara: Yeah, definitely. We have the Reinvention Studios that you are all aware, they have to do with reinventing industries. We have the Digital Studios that are around technologies and solution types. Then we have Create, which we recently launched. It was announced on our last quarter. And last, we have…
Martin Migoya: The Enterprise.
Diego Tartara: The Enterprise -- we were talking about that before. The Enterprise Studio, which encompasses all the solution that have -- all the solutions that have to do with Enterprise and their operations.
Martin Migoya: And the way -- and the way, Diego, to think about them is, you go the full lifecycle of the product or a company and you start with the consultancy part which is the Reinvention Studios. Then if you want, you go to the Enterprise Studios where you work with the backend. Then you go to the Digital Studios to create your digital experience and AI, so on and so forth, and then you go with the Create Studio, that is about making it available for people, making it known by people, just digital marketing, digital sales, performance, advertising, so on and so forth. So, that for that full cycle is what we strive and we tackle that cycle with these four Studio Networks. Is that clear?
Surinder Thind: That's helpful. And then in terms of -- as a follow-up here, in terms of where we started the conversation on the call, which was around AI, right. There was the initial conversations that you were having with clients. You kind of started doing some proof-of-concept projects for them. What really comes next at this point, right? How you think about what the client adoption curve here is and the timeframes that are maybe involved when you think about it from a client perspective?
Martin Migoya: Yeah, still the projects are exploratory and now a little bit deeper, but it's still exploratory. I believe that it will take a couple of more quarters to see that in full action. And let's see how customers use it. There are hundreds of use cases that are extremely useful. They still need to prove that the quality of the answers and what they are getting from that is really -- is really to the level that they need. So, I expect that given that corporations move much slower, it will take a little bit more time to see that evolution. I know, Diego, if you want to?
Diego Tartara: Yeah. I think as of today, things -- we've seen a lot of activity with what we call Knowledge -- Augmented Knowledge, which is managing large amount of information that the organization produces in a structural way and making it available to the organization under a different type of context. We've done a lot on that front. We've done a lot as well in -- in something that's called Converse AI, which is making all your business processes accessible to one single conversation and interface, which makes it super easy for anyone working at the company, be that during the ramp-up process or every type of a work. Those typically in terms of a project size are not huge, they are very good, they have very good impact. But the thing is, the landscape within AI is changing a lot, new players, new capabilities. Microsoft just announced a bunch of new capabilities being exposed through Azure. We know that Google follows immediately, et cetera, et cetera. But the good thing is, we are all coming to this idea of what will be the AI application architecture in the future and what will be achievable. And we're talking about agents. We're talking about plug-ins, a much richer type of architecture, where you can control on which data you are based -- basing your response, where you can actually interact with different systems within the company and make all that a seamless part of that conversation with the large language model. All of that together puts like big, large type of projects transformational where you actually change completely, as an example, the way a marketplace interacts with its clients or an OTS, as an example. Those are the projects that are to come and this is what Martin was saying, it will take a couple of quarters for us to start seeing that.
Surinder Thind: Thank you.
Patricia Pomies: Thank you.
Martin Migoya: Thank you.
Arturo Langa: Thank you, Surinder. So, our next question comes from Thomas Blakey from KeyBanc. Thomas, your line is open. Please go ahead.
Thomas Blakey: Thanks, guys. Congratulations on the result. I -- a lot of my questions have been answered, so maybe some follow-ups here on the Enterprise Studio. It seems like this is definitely accelerating here in the near-term. I just wanted to double-click on that in terms of -- sorry to ask about share gains with an $8.9 trillion TAM you identified, Martin. But is there something going on? Is there a dynamic that you guys have talked, relatively known for the front-end, the design, ideation. It seems like you are being tapped a little harder on this kind of multi-cloud possible strategy here in the back-end, just want to ask a question there. And on the AI, on Surinder’s comment -- questions, you've given some comments before about percentages of revenue, Juan, maybe we'd love to hear any updates there, what you would think about maybe looking out into 2024 in terms of an increase, maybe a percentage of revenue coming from that -- those technologies? Thank you.
Martin Migoya: Thank you, Thomas. The first part of the question, customers are tired about nonsense on the Enterprise side. They are tired about lack of transparency. And we are bringing absence of nonsense. We're bringing transparency to those projects, which is what we normally do on the Digital space. So, that cultural transformation of those kind of projects is what’s driving our demand into this space. And I see that evolving and growing quite heavily moving forward. The fact that people like the most is our Studio model, our thoughts that are on the top of the organization being absolutely autonomous, taking decisions much faster than our competitors, being able to have an identity, really perform in a totally different manner. The idea that we are using AI to discover, for example, bottlenecks on an SAP implementation and how you operate SAP and we are bringing those things very fast into the market and we are being extremely successful with all those things. So, I'm very happy with the performance of the Enterprise Studios and as Diego said, we’re launching the Microsoft studio, the AWS studio, we already have the Salesforce studio, the Google Cloud implementation. So we have now the full set of the big vendors on that specific space working with us and helping with us, and they see the same thing that I'm describing. They see that we are delivering these projects with a totally fresh and different approach, with a totally different organization coming from a different world. And that's very attractive, and that's part of the innovation we're bringing into the industry. I don’t know, Juan, if you want to take the second part?
Juan Urthiague: Yeah. So this is a -- let's say, an area that is recent -- it's recent for low end. We've been there for only a few years. So yes, it's going to get some market share from the total revenues next year. It is growing, probably slightly above the rest of the industry right now -- the rest of the company right now.
Martin Migoya: And the industry.
Juan Urthiague: And the industry as well. And that's -- but that's mainly because it's also, we are a small player and it’s a small part of the Globant so far. But definitely, it's an area where we are seeing a lot of potential and a lot of growth. So it's going to grow, probably a little bit faster than the rest of the company, given its smaller size as well.
Thomas Blakey: Thank you.
Patricia Pomies: Thank you.
Arturo Langa: Thank you, Tom. Our next question comes from Arvind Ramnani from Piper Sandler. Arvind, your line is open.
Arvind Ramnani: Hi. Thanks for taking my question. And by the way, just want to comment, really good results, but also really nice pair of shoes all of you have. So...
Patricia Pomies: Thank you. Finally, someone said something really important.
Arvind Ramnani: That's good. So look, I mean, it's clear that you are facing growth versus your peers. I want to find out, how much of that do you attribute to the specific work and offering you all have versus like kind of the client or industry exposure.
Juan Urthiague: Look, there are a number of things that explain this significant higher growth than our peers. And I would say that we are always in the market. So they have to be company-specific drivers, right? It has to be on how we are structured. It has to be in terms of studios, it has to be with how growth is part of our culture and everything that we do is always thinking about what to do next, which market to attack next. Also, we started building strong marketing campaigns in the last two years by especially, for example, we were a sponsor of the Men's World Cup back in Qatar of last year. Now we are in Australia because we're sponsors also of the Women's World Cup as well. So we are being very aggressive in putting the brand out there and making it known globally. As Martin mentioned during the remarks, we opened new eight markets in the last 12 months, which is something that most companies these days are not doing, they are more like looking into inside on how to keep the lights on, and keep things flowing. On the opposite, we are heavily pushing to expand. And I think that all those things are very relevant to understand why we have been performing better than the market. Finally, on the M&A front, we have been active looking into new technologies that we want to bring into the equation, looking into new markets, both for revenues and also for talent, we have now presence for example, in Vietnam, in the Philippines, which we didn't have in the past. We have a stronger presence in France for revenue, in Germany, in Australia, in Denmark. So I think that's kind of -- the drivers of why we are somehow performing very, very different from all the rest of the industry.
Diego Tartara: As you may see, our shoes are not the main difference, right?
Juan Urthiague: Diego and myself, we bought the two of them for the price of one.
Arvind Ramnani: I would not expect anything different from the CFO, right? Always looking at price.
Diego Tartara: Two for one. Was in the same shop.
Arvind Ramnani: Just when I look at your growth outside your top 10, it's very healthy at 22% growth, which is very impressive. So when I look, that at I would say, top 20 is a growth bigger and some of the larger accounts, let's say, top 10 to 20, or is it more like broad-based across everyone?
Juan Urthiague: Typically at Globant, I would say, top 50 accounts are the ones that drives the company, right? And those 50, probably 40 of those are 100 squared accounts, right? Like I think at the end of the day what makes us grow is this focus on these very large global companies, that are leaders in their own industries that are spending or investing millions or billions sometimes of dollars in technology. And we have been able in some cases to become a strategic partner and we are working very hard for the other cases to also get there, because that's when companies go from $1 million, $2 million, $3 million to $15 million, $20 million, $50 million, $80 million, $100 million. So that's the -- and we've been talking about 50 squared for a long-time, then it became 100-squared. And -- but it talks about, okay, what are we trying to achieve, which are the customers that can get us there? And I think that very clear mindset and focus has been a very relevant to grow across the board. And yes, and as I said at the beginning, I would look more into like top 50, because sometimes, top one, sometimes top 10, sometimes, the 11 to 20 and sometimes it's 20 to 50, but overall like I would say that 95% of the growth is always driven by the top 50 accounts.
Patricia Pomies: Yes, to add to that, and the way we organize, our sales force has to do with that, right, has to do with how to cover, how to partner with the main accounts. As Juan was telling, it is not the only the 10 account or 20, it is more like this vision of the 100-squared. It's how we are going to be the best partner in those accounts -- the global account that we want to achieve. So when we are thinking about how to structure new teams, how will open a new market, as was APAC, you were asking about Sydney and what we are doing here. So it has to do with that. It has to do how we are expanded around the globe. There is a very famous video about how we have been growing in the last couple of years and opening offices. And we have been covering all the globe right now. So we have like APAC, we have Europe, we have LatAm, we have US. And that is a vision that we have in order to what we want to achieve. That is why we are growing, so, I mean, faster than the rest of the competitors. And probably it has to do also with the mindset that we want to have in all the talent in the company, not only the leaders of the account. All the parts in the company has this growth mindset. And they have their own autonomy in terms of how to -- how they want to deliver the best quality to our clients. So I think that is also another important thing. The culture is really, really very important in Globant. Everybody is thinking about how to grow, how to cross-sell, how to present the new studio to a client, how to connect with the best partner, how to make the best partnership ever with the clients that we have. So I think that thing is something really important and it's not only the leaders of the account, it’s the complete parts that are in front of the client that are working. And they have many KPIs that has to do with that. We are measuring all the parts in terms of the readiness in AI. I mean, how they apply in AI in their processes. We are -- we have KPIs about how they're growing, about their assessment, about the performance that they are doing. I think those kind of mindset has to do with what we want to achieve, right? We want all the time the challenge this at the goal and all the time keep growing, and keep giving the best of that we can. We don't like to stay in the same line, we are always wanting for more. Today, we present this four new organization of the studios that is completely new and that has to do what we have been looking that their business is expecting, is expecting something new. They don't want the same story all the time. They want someone that can help them to reinvent their industry in order to connect better with their clients to achieve another goals. So we are there for them. So that is something really, really important that we have all across the company, the 27,000 employees that we have today. I think that to date, we have been working all the time every day on that kind of culture.
Arvind Ramnani: This is super helpful context. Thank you so much and looking forward to next earnings as well.
Juan Urthiague: Thank you, Arvind.
Patricia Pomies: Thank you.
Martin Migoya: Thank you so much. Bye-bye.
Arvind Ramnani: Bye.
Arturo Langa: Thank you, Arvind. Our next question comes from Moshe Katri from Wedbush. Moshe, your line is open. Please go ahead.
Moshe Katri: Hey, thanks. Really impressive numbers guys, congrats. I have two follow-up questions here. First, you indicated that booking growth for the first half of the year compared to the second half of last year was up 40%. Is there any way to kind of gauge how that -- how that -- how bookings were on a quarterly basis Q1 versus Q2, i.e, have we seen bookings accelerate from Q1 to Q2 in terms of growth rate? And then in that context, maybe some color on where you're seeing some of that booking growth coming through in terms of maybe regions and verticals? That's my first.
Juan Urthiague: Sure. I'll take it. Thank you, Moshe, for the question. So, I think what is important there is that we have started to build backlog again, right. If you remember back when we guided -- when we reported Q1, we were saying, in the second half of last year, we had consumed a big part of the backlog, so we need more bookings, we need more deals to start building backlog again. So, this 40% increase in bookings in the first part of the year relative to the year before, shows that because of all these deals that we have been able to close, the backlog has started to pick up again, which to grow, you need both things, right, you need flow and you need stock. So, having the -- having or starting to build backlog again helps. When we look at Q1 and Q2 and what is already part of Q3, I think that we have seen kind of a steady, slow but steady improvement in every month and that continues. We have not seen any changes. I mean, of course, we are not in the 2021 levels or second part of 2020, but definitely, when you look at -- you start -- if you were to draw a line starting in July 2022 all the way to August 2023, you could definitely see how there was a big change towards the end of the year and sequential increases pretty much in every month. Which industries or which regions, I think the good news is that the US has woken up again. We started -- we started to see now a lot of those deals that were getting delayed now closing. Europe has hold-up well during the whole process. I mean it never really went down that much. It never really went -- was impacted that much. And LatAm is -- was always also kind of stable. So, I would say that the main changes in the US being a little bit more active and that's what has been driving big part of that increase in bookings, Moshe.
Moshe Katri: Okay, that's really helpful. And then, if I'm looking at some of the trends during the quarter, we've seen growth moderate in North America and Latin America on a year-over-year basis versus last quarter. We've seen a nice pickup in Europe. Sorry, we've seen -- yeah, we've seen a nice pickup in Europe and APAC. Should we see some of that reversing or maybe should we see improvements in North America and Latin America in terms of growth rates in the second half based on the bookings that you're talking about?
Juan Urthiague: Yeah. And Europe will be a little bit lower. Keep in mind that Q3 is typically the holiday season in Europe. So, it tends to be softer than on this -- on a sequential basis, you are going to see North America and Latin America, and new markets also picking up and probably Europe is going to be softer in terms of sequential growth going into the second half.
Moshe Katri: Understood. Great. Thanks for the color.
Juan Urthiague: Thank you, Moshe.
Patricia Pomies: Thank you, Moshe. See you.
Arturo Langa: Thank you, Moshe. So, with that, we will conclude the Q&A section for today. So, thank you all for joining and for the time today. I will now ask Martin to provide some closing comments. Please go ahead, Martin.
Martin Migoya: Thank you very much, everyone, for participating, for giving your coverage, your support, and looking forward to see you on our next earnings call. Thank you very much. Bye-bye.
Patricia Pomies: Bye. See you.
Juan Urthiague: Thank you. Bye.